Operator: Good day ladies and gentlemen and welcome to Universal Display Corporation’s Fourth Quarter and Full Year 2022 Earnings Conference Call. My name is Sherry and I will be your conference moderator for today's call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]  As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Liu, Senior Director of Investor Relations. Please proceed.
Darice Liu: Thank you. And good afternoon everyone. Welcome to Universal Display’s fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Brian Millard, Vice President and Chief Financial Officer. Before Steve begins, let me remind you that today’s call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display’s website. This call contains time sensitive information that is accurate only as of the date of the live webcast of this call, February 23, 2023. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are discussed in the company’s periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company’s securities. Universal Display disclaims any obligation to update any of these statements. Now I would like to turn the call over to Steve Abramson.
Steve Abramson: Thanks, Darice. And welcome to everyone on today's call. We are pleased to report record results for the fourth quarter and full year 2022. 2022 revenue was $617 million; operating income was $267 million; and net income was $210 million or $4.40 per diluted share. Fourth quarter revenue was $169 million; operating income was $83 million; and net income was $65 million or $1.36 per diluted share. As we look to the future, we believe that the OLED ecosystem is preparing for a new adoption and investment cycle to begin in 2024. However, we expect current macro headwinds to hamper near term growth. Amidst this temporary backdrop and based on current estimates and expectations, we believe our 2023 revenues will be in the range of $550 million to $600 million. Brian will provide further details shortly. Looking back on 2022, it was a year filled with significant milestones from record high financials, to new customer agreements, to making excellent progress on our phosphorescent blue program and to ramping our new Shannon production facility. On the customer front, we announced new long-term agreements for red and green materials with our partner of more than two decades, Samsung Display, for an additional five years. In addition, we recently announced an evaluation agreement with Seiko Epson for AR/VR display applications. On the global manufacturing front, with our foundry partner of more than 20 years PPG, we began ramping our new manufacturing site in Shannon, Ireland, which recently achieved ISO 14001 Certification for the production of our highly efficient, high-performing UniversalPHOLED materials. With the proliferation of OLEDs expected to broaden, we are increasing our OLED emitter production capacity to meet our customers’ future needs. 2022 was another year of continued recognition for our company. We were named the Forbes' list of America's Best Mid-Sized Companies. We were recognized by Newsweek for the third year in a row as one of America's most responsible companies. We were awarded a Silver Rating for corporate social responsibility from EcoVadis, a leading provider of business sustainability ratings. We were recognized by the Forum of Executive Women as a Champion of Board Diversity for the third year. And we were recently included in Bloomberg's list of 50 Companies to Watch in 2023. From a research and development standpoint, our team of scientists and engineers are continually innovating, inventing and commercializing highly efficient and cost effective OLED material solutions and technologies, including new reds, greens, yellows, and hosts. With respect to blue, we continue to make excellent progress in our ongoing development work for our commercial phosphorescent blue emissive system. As we shared last month, we met our preliminary phosphorescent blue target specifications in 2022. We continue to believe that we are on track to introduce our all-phosphorescent RGB stack into the commercial market in 2024. We believe that the introduction of our full suite of red, green and blue phosphorescent emissive materials will unlock a vast array of opportunities for higher energy efficiency and higher performance across a broad range of OLED applications. On the OVJP front, we are advancing our groundbreaking manufacturing platform. The OVJP team continues to build and prove out the key subsystems of our alpha system design. While commercial system is still a few years away, we believe that OVJP will enable high volume, cost-effective manufacturing of side-by-side RGB OLED TV panels and develop into a multibillion-dollar market opportunity. On the OLED consumer market front, at CES, Samsung Display showcased its Flex Hybrid display, which comes both foldable and slidable capabilities into one display. And according to the company, it is a prototype for future laptops. Also at CES, Samsung Display announced that it was expanding its QD-OLED portfolio with plans to offer 49-inch and 77-inch panels this year. Earlier this month, Samsung Electronics introduced its new Galaxy S23 smartphones and 2023 laptop series, the Galaxy Book 3 where all the models are equipped with AMOLED displays. Towards the end of their Unpacking presentation, Samsung announced that it was working with Qualcomm and Google to develop an Extended Reality XR device. News reports have since surfaced noting that Samsung is working on micro-OLED displays and the company is planning to build a micro-OLED display line in SAAR. LG-Display’s CES showcase, and their OLED as well. LG-Display demoed its 17-inch foldable OLED that can fold and unfold into half to transform into a tablet or portable monitor. LGD also showcased an 8-inch, 360-foldable OLED that can fold back and forth. The company also announced that it will broaden its OLED portfolio and start producing 27-inch and 45-inch WOLED panel for gaming applications. And according to reports, BOE is planning to build a new $250 million OLED module facility in Vietnam for smartphones. BOE is also reportedly targeting to increase its 2023 OLED shipments by 50% year-over-year and is focused on expanding its international market share. We expect 2023 macroeconomic clouds of uncertainty to weigh on near-term growth. Accordingly, we have revised our capacity forecast to reflect shifts in timing of the fill, select and expansion projects. As a result, our new forecast for year end 2023 installed OLED capacity as measured in square meters is to increase by approximately 15% to 20% over year end 2021. This compares to our previous estimate of 20% to 25%. As we look out, we believe these macro headwinds will be short-lived and continue to believe that 2024 will be a pivotal year for the OLED industry and for us. From an industry perspective, we believe that a significant new wave of OLED adoption primarily for IT will commence next year and fuel a new, multi-year wave of OLED capacity investments. This new wave of capacity build is expected to drive significant growth and momentum in the OLED industry and for us. On the lighting front, while we are still in the early commercialization stage, we're seeing advances in OLED lighting for the automotive market. Last month at CES, OLEDWorks showcased its new flexible, OLED lighting for automotive applications with the highest density of segments in a flexible OLED panel. According to the company, this advancement will allow for enhanced communication capabilities and design freedom while maintaining the key features and benefits of OLED technology. On that note, let me turn the call over to Brian.
Brian Millard: Thank you, Steve. And again, thank you everyone for joining our call today. Let me review our 2022 results before commenting on our guidance for 2023. 2022 revenue was a record $617 million, up 11% year-over-year. Material sales were $331 million, up 4% year-over-year. And royalty and license revenues were $267 million, up 22% year-over-year. Adesis revenues were $18 million, up 16% year-over-year. Our 2022 revenues include a cumulative catchup adjustment of $30 million. 2022 gross margins were 79%, flat compared to 2021. 2022 operating expense excluding cost of sales, was $222 million, up 5% year-over-year. We are continuing to invest in a number of strategic programs including next-generation red, green, yellow and blue emissive materials and OLED technologies, our trailblazing OVJP manufacturing platform, our global infrastructure, including our new Shannon site and in our people. Our 2022 operating income was $267 million, up 17% year-over-year, which translates into operating margins of 43%. 2022 net income was $210 million or $4.40 per diluted share, up 14% year-over-year. We ended the year with $826 million in cash, cash equivalents and investments or $17.38 per diluted share. Now moving on to our fourth quarter results. Revenue for the fourth quarter of 2022 was a record high of $169 million, up 16% from $146 million in the fourth quarter of 2021. Fourth quarter 2022 revenue includes a cumulative catch-up adjustment of $13 million compared to $4 million in Q4 of 2021. Material sales were $88 million in the quarter compared to $86 million in the fourth quarter of 2021. Green emitter sales, which include our yellow green emitters, were $67 million in the fourth quarter of both 2022 and 2021. Red emitter sales were $22 million, which compares to $19 million in the fourth quarter of 2021. As we've discussed in the past, material buying patterns can vary quarter-to-quarter. Fourth quarter royalty and license fees were $76 million compared to the prior year period of $56 million. Adesis revenue for the fourth quarter of 2022 was $5 million, up 14% from the comparable period in 2021. Fourth quarter cost of sales were $30 million, translating into total gross margins of 82%. This compares to $32 million and total gross margins of 78% in the fourth quarter of 2021. Fourth quarter gross margins increased due to favorable product mix, partially offset by the cost of our Shannon site, which commenced manufacturing in mid-2022. Fourth quarter operating expenses, excluding cost of sales, were $56 million. In the fourth quarter of 2021, it was $58 million. The decrease is primarily due to the completion of the 10-year amortization period for the acquisition of Fujifilm's patents. As we noted last quarter, Fujifilm patents became fully amortized last July. Operating income was $83 million in the fourth quarter of 2022, translating into operating margin of 49%. This compares to the prior year period of $56 million, an operating margin of 39%. The increase in margins was primarily due to the cumulative catch-up. During the fourth quarter, we recorded an impairment charge of $7 million for certain minority investments. Fourth quarter 2022 income tax rate was 19%. Net income for the fourth quarter was $65 million or $1.36 per diluted share. This compares to the fourth quarter of 2021's $46 million or $0.96 per diluted share. Now turning to our outlook. As we look to 2023, we believe that the macroeconomic uncertainties will weigh on consumer spending in the near term, which we expect to result in relatively flat year-over-year material volume demand. In addition, we realized $30 million in cumulative catch-up adjustments in 2022, which we do not expect to recur in 2023. Taking into account these factors, we expect our 2023 revenues to be in the range of $550 million to $600 million. We believe that the second half revenues will be higher than the first half of the year. We estimate that our 2023 ratio of materials to royalty and licensing revenues will be in the ballpark of 1.5 to 1. 2023 overall gross margins are expected to be approximately in the range of 77% to 78%. Operating expenses are expected to increase by 5% to 10% year-over-year, with R&D estimated to be up by 10% to 15% and SG&A expected to be up by 5% to 10%. 2023 operating margins are expected to be in the range of 35% to 40%. We expect the effective tax rate for 2023 to be approximately 20%. And lastly, we are pleased to announce that the Board of Directors has approved an increase in Universal Display's quarterly cash dividend. A dividend payment of $0.35 per share will be paid on March 31, 2023, to stockholders of record as of the close of business on March 17, 2023. The dividend increase reflects the confidence in our robust future growth opportunities, expected continued positive cash flow generation and commitment to return capital to our shareholders. With that, I'll turn the call back to Steve.
Steve Abramson: Thanks, Brian. I would like to take a moment to honor the memory of our visionary and founder, Sherwin Seligsohn, who passed away in early December. Sherwin leaves an indelible mark on the display and wireless communication industries. Born in 1935, Sherwin's immense drive for learning eclipsed conventional teaching methods. He left high school and pursued his life interest, including the stock market, technology and spending time with his family on the Jersey Shore. Sherwin's desire to get real-time stock quotes without having to leave the beach spark the idea of a portable wireless data machine and led Sherwin as the former first multibillion-dollar company in 1972, International Mobile Machines, IMM, now known as InterDigital. After stepping down as Chairman of IMM, Sherwin began to look for his next venture. He read about novel organic research work being done by Doctors Forest and Thompson and decide to explore this groundbreaking technology with a visit to Princeton University. There, he observed a green dot with a 9-volt battery hanging from it, light up for a few seconds before it expired. From that tiny green organic light-emitting diode, Sherwin saw the future of OLEDs and founded Universal Display Corporation in June of 1994 with a vision of creating the next-generation of displays back when TVs were still cathode ray tubes. Fast forward to today and as we approach our 30th anniversary, Universal Display evolved from an R&D start-up to a global leader in the OLED ecosystem. On a personal note, I had the privilege of working closely with Sherwin for more than 40 years. He was not only my brilliant mentor, but also my wonderful and generous friend. With a long-term strategic vision, Sherwin cultivated and nurtured UDC's guiding principles of curiosity, respect, humility and determination. His mindset of constantly thinking outside the box and courageous conviction have been embedded into the company's DNA and are key to UDC's remarkable success. Sherwin's incredible legacy will continue to drive the company forward on its path of exploration, innovation and growth. We miss him tremendously. Lastly, I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. And with that, operator, let's start the Q&A.
Operator: Thank you, Mr. Abramson. [Operator Instructions] Our first question is from Brian Lee with Goldman Sachs. Please proceed.
Brian Lee: Hey, guys. Good afternoon. Thanks for taking the questions. I had one, maybe to start off on just the guidance for you, Brian. It's – $550 million to $600 million, a little bit of a wider range than you typically start the year out with. Maybe walk us through your thought process on the $50 million low to high end versus maybe $30 million to $20 million in past years. And where is the biggest sort of uncertainties? Is it by product category, smartphones versus TVs? Or is it specific geos where the swing factor is a little bit wider this year than in the past?
Brian Millard: Yes. Hi Brian, thanks for the question. I think it's – in terms of the range, I think it just reflects what we're seeing in the market more broadly with the macroeconomic factors that are at play. So it's not any one specific area or any one specific customer. Necessarily, it's really a broad macroeconomic situation that just based on the situation in the world, there's a wider range of outcomes that could come to play this year. And so that informed us determining that a wider range was more appropriate for this year.
Brian Lee: Okay. Fair enough. And then on the revenue range, are you embedding any even if a pretty nominal revenue contribution this year from blue even in kind of sampling?
Brian Millard: Yes. There's an element of blue. I mean it's not a significant contributing factor to our guidance this year, but it is an element of our guidance and it's incorporated, but it's not materially more than it's been on the development level in prior periods.
Brian Lee: Okay. And so we won't necessarily see a separate line item or you disclosing it? Would it just show up in that green number you provide on a quarterly basis as of right now?
Brian Millard: Yes. So it will – at the point that it's material, and we'll certainly determine a separate disclosure for it, but we're not at that stage right now. 
Brian Lee: Okay, fair enough.
Brian Millard: It would be a separate disclosure. It would not be included in green.
Brian Lee: Got it. Okay. Makes sense. And then just one on gross margin and I'll pass it on. So you said 77% to 78% gross margin at the consolidated level. Just given what you're doing quarterly, I guess I'm backing into you're implying 65% gross margin, plus or minus, for the materials again for this year?
Brian Millard: That's correct.
Brian Lee: Okay, all right. I’ll pass it on. Thanks a lot guys.
Brian Millard: Thanks.
Operator: Our next question is from Krish Sankar with Cowen and Company. Please proceed.
Krish Sankar: Yes. Hi. Thanks for taking my question and I’m sorry to hear about Sherwin. He was a true visionary. Steve, my first question is on the smartphone opportunity. In the short-term, there’s a view that China smartphones will recover. How does that impact you? And also longer-term, how do you feel about your opportunity as smartphone unit growth factory? And then I have a follow-up.
Steve Abramson: So as the economy recovers, OLEDs are approximately 50% of the smartphone market right now. And we expect that percentage to continue to grow because everybody really wants an OLED. There’s a lot of pricing issues right now. So that’s what I think we’ll be looking for. I think it depends a lot on the macro issue. We’re starting to see Chinese OEMs adopt OLEDs for both the high end and the midrange smartphones.
Krish Sankar: Got it. Got it. Thank you for that. And then a question for Brian. If I look at the guidance you imply this year, when I compare it to FY 2021, where you had like $553 million in revenue and $3.87 in EPS, clearly, the earnings power this time around is going to be lower, I mean, at the $550 million to $600 million revenue range. How much of that is coming from the Shannon facility underutilization? Or is there any other things that’s impacting the earnings power? Thank you.
Brian Millard: Yes. So we’ve previously said that Shannon and the underutilization is about $1 million a month in terms of expense that we’re carrying to operate the site. We expect the utilization of the site to continue to improve as we go through the course of 2023 and into 2024, but we’re nonetheless still carrying the cost of the facility. So that’s the contribution of Shannon. But I think Shannon is a critical site. Having it as part of our network is certainly part of our long-term strategic plan as we look to where the industry is going and making sure we have the volumes to support our customers’ growth.
Krish Sankar: Got it. Thanks, Brian.
Brian Millard: Thank you.
Operator: Our next question is from Sidney Ho with Deutsche Bank. Please proceed.
Sidney Ho: Thanks for taking my question. I also had a question on the full year guide. You talked about flat mature demand and maybe absence of some catch-up revenue adjustments. But what are some of the underlying assumptions for the market that you are baking into your full year guidance in terms of maybe by end market, smartphone, TV, IT and maybe content per unit, whatever you can quantify? And maybe you also talked about second half higher than the first half, but that’s kind of typical for you guys. Can you maybe help us quantify a little bit more of that now? And I have a follow-up.
Brian Millard: Sure. So I think it’s not – the flat guidance assumption in terms of unit volume demand is really across the customer base and across the end markets. So we’re really not seeing any particular one area. It’s softness across the board in terms of the flat material guidance that we put out there. And in terms of the first half, second half, I mean, I think your point is well taken. I think part of that dynamic historically has also been, as we’ve grown the second half has been higher than the first. I think this year, it’s a little bit due to the fact that there’s just the macroeconomic factors, which are weighing in the near-term.
Sidney Ho: Okay. Then my follow-up question is on the sensor license. It’s good to see that the extension was done early this time. I assume you won’t get into the details of the financial terms. But at a high level, can you talk about whether there is any meaningful changes to the licensing part of the agreement versus the last extension? Any onetime step function change that we should be thinking about when we start modeling for 2023?
Brian Millard: Yes. The structure of the agreement is really very consistent with the prior agreements that we’ve had over the last five years. So nothing significantly different. The one thing to note is that we do think that the timing of our cash collection under the license agreement and our revenue recognition will be more closely correlated in this contract. So we shouldn’t see as much of an impact on deferred revenue as we had in the prior contracts.
Sidney Ho: Okay. Great. Thanks.
Brian Millard: Thanks.
Operator: Our next question is from Mehdi Hosseini with SIG. Please proceed.
Mehdi Hosseini: Yes. Two follow-ups. I’m sorry, the question has already been asked. But when the blue is available for your customers, what’s the assumption or underlying assumptions for your customers’ customer to evaluate the new material?
Steve Abramson: Mehdi, I’m not quite sure I understand the question. What we are seeing...
Mehdi Hosseini: Let me restate it. This would be a new material, and I’m just trying to understand if your customer’s customer like the handset OEM would have to go through a requalification of the new panels that has the three steps of the emitter from supplied by UDC.
Steve Abramson: Well, we’re working with our customers, as you know. And there is interest in blue for its efficiency, both with our customers and with our customers’ customers. Exactly how that’s going to evolve over time, I think we’re going to always have to wait and see how the introduction to the marketplace occurs.
Mehdi Hosseini: Got it. Okay. Thank you for the clarification. And then just one quick item on the cash flow. How should I think about your operating cash flow, especially I think your inventory went up as you prepare for 2023? And how is it going to trend throughout the year? And what’s the CapEx guide for 2023?
Brian Millard: Yes. So good question. I’ll take the inventory piece first. I think we have been building a supply of raw material inventory. We have certain raw materials that we keep a strategic supply of. I think we’re now feeling like that’s at a fairly comfortable level. So we shouldn’t necessarily see in 2023, the level of increase we’ve seen in the last few years. And on CapEx, we’re currently thinking that it’s going to be in roughly the $40 million to $50 million range this year based on what we know as of now. Obviously, we’re always looking at our global footprint and where we can expand and grow. But based on our current plans, it’s expected to be in the $40 million to $50 million range.
Mehdi Hosseini: Got it. Thank you.
Operator: Our next question is from James Ricchiuti with Needham & Company. Please proceed.
James Ricchiuti: Hi. Thank you. Good afternoon. Just a couple of questions. First on blue. I’m wondering if you could talk about the next milestones that we should be looking for. And maybe related to that, when would you anticipate having some visibility into when blue material – your blue material might be incorporated in some of the OLED production capacity that’s been coming on or that’s existing? Just trying to get a sense as to how this is going to play out because you guys have talked about anticipating revenue in 2024, and I’m just – I’d like to get a better understanding of how this is going to begin to scale up.
Steve Abramson: Sure. Jim, all good questions. And as things evolve, although we have the opportunity to give you further insight into the process, we certainly will. Right now, we’re doing a lot of engineering work, supply chain work and other type of work to prepare for the introduction of our commercial molecules in 2024. So unfortunately, I can’t give you any specific guidance right now. But once we have a better feel for it, we will start talking about those types of things.
James Ricchiuti: Okay. And as far as I go, Steve, again, I understand you’re not going to be able to comment further. But would you know more by, say, midyear? Or is this something that we’re just going to learn more toward the end of the year?
Steve Abramson: We’re going to learn more as it occurs. I mean it’s…
James Ricchiuti: Okay.
Steve Abramson: You got it. Thank you.
James Ricchiuti: All right. Listen, another follow-up. I’m sorry. Go ahead.
Brian Millard: No. Go ahead, Jim.
James Ricchiuti: I was just going to ask, I mean, the sequential increase in materials gross margins, there’s obviously several factors. I wonder if you could just elaborate on the main factors that contributed to that sequential increase in the materials gross margins in the quarter.
Brian Millard: Yes. So we did have some favorable product mix in Q4 that was around $4 million to $5 million. So a pretty significant impact in the quarter alone just on product mix that was the favorable item, and that was offset by some of the Shannon costs. So those were really the factors that drove the improvement that we saw in Q4.
James Ricchiuti: Okay. And just last question. Because of the guide that you gave has been pointed out being wider than normal, I’m just wondering how you would characterize the business as you went through Q4 and, thus far, through the first two months of this year.
Brian Millard: Yes. I think Q4 came in a little stronger than we had expected. So we were pleased with that. And I think we’re expecting this year, as we said, the first half to be a little lighter than the second, and that’s kind of the plan. So Q1 is going to be play slightly softer than what we saw in Q4, but that’s what we’re seeing as of right now.
James Ricchiuti: Okay. Thanks a lot.
Brian Millard: Thanks.
Operator: [Operator Instructions] Our next question is from Atif Malik with Citi. Please proceed.
Atif Malik: Thank you for taking my questions. I have a question on blue. You talked about blue meeting preliminary internal target. Were these targets on reliability and lifetime and emissivity [ph] and all that similar to the specs that you have on green and red?
Steve Abramson: Yes. The target for development specs based upon lifetime, color point and efficiency. So basically as we've talked in the past, we've gotten the blue materials to a point where we felt the rest of it was a lot more engineering work, and we have gone through this before. So we could figure – we could basically figure out where the commercial materials should come in. Now the reliabilities of the molecule, not necessarily reliabilities in the full-up device.
Atif Malik: Understand. And then you have lowered your installed capacity outlook over the last two years 2021 and 2023 from 20%, 25% to 15% to 20%. And so my question is your optimism on 2024 being a pivotal year for OLED, is that primarily based on the new materials like blue or you're seeing any green shoots in terms of new projects? Because basically, I'm trying to kind of extrapolate your lower capacity this year into next year because if there's not enough capacity, then there will probably be not enough material purchases as well. Is that a fair way to look into next year that the majority of your optimism on next year is based on blue?
Steve Abramson: Well, 2024, we'll see the beginning of blue. The new way of OLED investments are going to begin. We're also going to expect to see a better macro environment. So when you put all of those things together, including beginning of some new IT products, that's where we see the beginning of this wave to start.
Atif Malik: And then, Steve, the optimism on 2024 is based on the Book 3 – the Galaxy Book 3 tablet with OLED, so the optimism is based on the tablet market being adopting OLED display. Is that the right...
Steve Abramson: I'm sorry, there is a piece of the tablet market that's in there. I don't want to get into any specifics on which tablets it might be. But we do see the IT market or the tablet market starting to take off at that point in time.
Atif Malik: Got it. Thanks.
Operator: Our next question is from Martin Yang with Oppenheimer & Company. Please proceed. Martin, please check and see if your line is in mute. Go ahead.
Martin Yang: Yes. Thank you for taking my question. Can you first remind us of the margin impact assuming Shannon gets to full capacity?
Brian Millard: Yes. So I think it's a little bit of a tricky one. I mean we have the roughly $1 million a month of cost right now that we're bearing on Shannon. We have said that in adding Shannon to our network, we've effectively doubled our capacity production across the business. So we have a lot of capacity. And as we continue to utilize Shannon to a greater degree, we'll see that overhead absorbed over a larger number of units. So there's incremental improvement from there. But we're not in a position necessarily to set a target once it's 100% capacity necessarily.
Martin Yang: Got it. And a follow-up on that is that $1 million a month cost, does it perhaps partially goes away as the capacity rise to, let's say, 50%, 70% or 80%?
Brian Millard: Yes. I think the way I think about it – yes, it doesn't necessarily go away. It just would get absorbed into the cost of those units. So you would be able to make additional product without having additional overhead costs because the overhead wouldn't be underutilization cost. It would actually be utilized and be absorbed into the cost of the product.
Martin Yang: Understood. Thank you. My final question is on new products. Earlier today, BOE announced that they are developing tandem structure for smartphones, flexible OLED. Do you feel that is going to be a mainstream adoption do you view on adoption of tandem structure on small devices like smartphones?
Steve Abramson: We're really focused on being a material manufacturer and technology developer and providing those materials and technologies to our customers. Tandem has been around for a while because it can increase the efficiency and lifetime of a display. And so to that extent, we think it can – to the extent it can grow the business, we think it's valuable. But that is a decision our customer is making.
Martin Yang: Got it. Thank you.
Operator: Our final question is from Scott Searle with ROTH Capital. Please proceed.
Scott Searle: Good afternoon. Thanks for taking my questions. Hey, Steve, maybe to follow up on blue. I know you're reluctant to give any detailed estimates on that front, but I was wondering if you could talk a little bit about the adoption cycle or the number of customers that you're engaged with of how we should think about that as we get into 2025 and 2026? What percentage of your customers do you think are looking for a full RGB stack? Or maybe provide us with some historical perspective in terms of green? How long it took customers to ramp up in terms of design cycles ramping into commercial production?
Steve Abramson: So good sets of questions. We've noted that we've been working with multiple customers on blue. And we have also noted that our customers all want blue. Exactly how they are going to introduce the product into the marketplace is something that we will see as it evolves. The green analogy, back when we introduced green, there was only one customer in the market, that was Samsung. So I'm not sure the analogy can really apply. But the interest for blue is across the board for all different sizes of displays and applications. And as we get closer, we may be able to share more information or that may be information that is specific to our customers, and they're the ones that may have to share it.
Scott Searle: Okay. Fair enough. And if I could on the excitement around 2024 and capacity additions coming online. I know historically, when you've given two-year forecast, we've typically seen these big step functions up of 50%-plus capacity additions. In 2024, are we entering one of those similar type cycles? I'm not sure if you're prepared to put a percentage of growth and the capacity on that, but there are a lot of the Gen-10 facilities that kind of got pushed out or had kind of fluid time lines, if you will. It sounds like you're feeling more comfortable that those go into production in 2024 and beyond. I was wondering if you could kind of frame how you're thinking about 2024 plus?
Brian Millard: Yes. I think we're seeing a number of things: one, in terms of the capacity and investments that we expect to be made for IT. Specifically, Gen 8.6 capacity that's going to be needed to meet the IT market and where that's going to be heading. So that's one thing as well as the macro factors in the broader economy picking up, which will improve utilization of existing fabs and other factors.
Scott Searle: Got you. Fair enough. And lastly, if I could just to follow up on the IT comment. It's one of the areas that's really been under adopted at this point in time, but the market forecasts out there are pretty large. It sounds like with some of the other capacity coming online that, that's going to start to ramp into 2024 and beyond. Is there a point where you see the square meters or square acreage of IT starting to rival that of smartphones and/or TVs over the next several years? Or is it just too far out on the time horizon to be thinking about things like that? Thanks so much.
Brian Millard: Yes. I think it's hard to predict exactly at which point the square meters may hit the smartphone square meters. I think one thing, IT is a very broad market in covering tablets, laptops, monitors and other applications. So there's a lot of different use cases for OLEDs in the broader IT landscape as well as the fact that the display size is larger than smartphone across the board across all those applications. So we see a huge opportunity there as OLEDs get adopted into various IT products.
Scott Searle: Great. Thank you.
Brian Millard: Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the program back over to Brian Millard for any additional or closing remarks.
Brian Millard: Thank you for your time today. We appreciate your interest and support. Have a good evening.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.